Operator: Good day, ladies and gentlemen, and welcome to the Third Quarter 2011 NiSource Earnings Conference Call. My name is Lacey and I'll be your coordinator for today. [Operator Instructions] And I would now like to turn the presentation over to your host for today's call, Mr. Glen Kettering, Senior Vice President of Corporate Affairs. Please proceed.
Glen L. Kettering: Thank you, Lacey, and good morning to everyone. On behalf of NiSource, I'd like to welcome you to our quarterly analyst call. Joining me this morning are Bob Skaggs, President and Chief Executive Officer; Steve Smith, Executive Vice President and Chief Financial Officer; and Randy Hulen, Managing Director of Investor Relations. As you know, the focus of today's call is to review our financial performance for the third quarter of 2011 and provide a business update. We'll then open the call to your questions. At times during the call, we'll refer to the supplemental slides available on our website at nisource.com. I'd like to remind all of you that some of the statements made on this conference call will be forward-looking statements. These statements are subject to risks and uncertainties that could cause actual results to differ materially from those expressed in the statements. Information concerning such risks and uncertainties is included in the MD&A and Risk Factors sections of our periodic SEC filings. And now, I'd like to turn the call over to Bob Skaggs.
Robert C. Skaggs: Thank you, Glen. Good morning, and thanks for joining us today. This morning's agenda is brisk to allow time for your questions. To start things off, I'll touch on a few key highlights that demonstrate the team's continued progress on executing NiSource's business plan. I'll provide a few specific updates on NiSource's results, as well as the performance of our key business units, and then we'll open the line to your questions. Starting off, let's turn to Slide 3 in the supplemental deck, labeled Key Takeaways for the Third Quarter. I'll discuss in a moment, despite sluggish economic conditions, our balanced investment-driven strategy continues to deliver solid earnings growth and increased shareholder value. Our strategy also has remained true to our underlying commitments to do the right thing in enhancing customer service, modernizing our energy infrastructure and expanding our network across the entire NiSource footprint. As noted in this morning's release, our performance today has NiSource on pace to deliver earnings at the upper half of our 2011 guidance range of $1.25 to $1.35 per share, non-GAAP. NiSource is also on track to deliver double-digit shareholder returns for the third consecutive year, significantly outperforming the utility indices and the broader markets. This performance record is the direct result of the continued exceptional execution in array of core initiatives across each segment of NiSource's businesses. Just a few examples. From a regulatory standpoint, we've received approval for a significant rate case settlement in Pennsylvania. We also advanced settlement of our Columbia Gulf rate case, as FERC approval targeted by year end. In Indiana, our watershed electric rate case settlement remains on track for approval late this year or early 2012. Meanwhile, NIPSCO's substantial environmental scrubber investment program at our Schahfer Generating Station remains on schedule and on budget. And then our Gas Transmission & Storage business, new CEO Jimmy Staton is driving development with an aggressive comprehensive plan to leverage NiSource's unparalleled position in the Marcellus and Utica shale regions. With that premise, let's now take a closer look at the quarter, starting with the financial highlights on Slide 4. As you can see, we delivered third quarter net operating earnings, non-GAAP, of about $33 million or $0.11 per share compared to $0.04 per share in 2010. Our operating earnings increased for the quarter from about $110 million to over $140 million. As I mentioned a moment ago, given our strong year-to-date performance, coupled with our expectations for the balance of the year, we expect that our full year results will be in the upper half of our non-GAAP earnings range of $1.25 to $1.35 per share for 2011. Shifting to our individual business unit results. Let's start in Indiana with our Electric business, as summarized on Slide 5. The pending electric rate case settlement is unquestionably a huge milestone for NIPSCO, its customers and our many other Indiana stakeholders. This landmark agreement has been literally years in the making, sets the stage for NIPSCO to provide customers with reliable, competitively-priced electric service while making long-term investments in our infrastructure. This outcome contributes to the economic vitality, environmental sustainability of northern Indiana while earning a fair return on NIPSCO's investment base. As I mentioned earlier, we anticipate receiving approval of the pending settlement by year end or early 2012. Our Indiana team also continues to make significant progress on efforts to improve operating performance, meet customer needs and modernize our systems. For example, on the customer front, we received approval for a number of new electric energy efficiency programs that complement our existing natural gas conservation programs and help customers manage their energy costs. Progress also continues on significant environmental upgrades at NIPSCO's Schahfer Generating Station. I noted earlier, this work remains on schedule and on budget. As you'll recall, the Schahfer improvements are part of the NIPSCO environmental investments stream. With the next 6 to 8 years, that will approach $900 million. Taken together, these efforts are helping NIPSCO customers manage energy use, providing a long-term environmental and economic benefits for northern Indiana, supporting stable and sustaining earnings growth. The third quarter, our Electric Operations reported operating earnings of about $73 million compared to $80 million for the same period in 2010. Revenues were down about $4 million, primarily reflecting lower environmental spend and associated cost recovery compared to the third quarter of 2010. Operating expenses increased by about $3 million, primarily due to higher employee administrative expenses and rate case costs. Let's now take a look at our NiSource Gas Transmission & Storage operations, highlighted on Slide 6. Jimmy Staton and the team are working aggressively to advance key strategies to enhance system reliability and customer service, develop new growth projects and leverage NiSource's strategic footprint in emerging shale production areas. The quarter, NGT&S generated operating earnings of about $68 million compared to about $76 million in 2010. Net revenues were up about $11 million, thanks to growth projects placed into service, as well as the impact of new Columbia Gulf rates that took effect subject to refund in May. Operating expenses were up $19 million for the quarter due primarily to an adjustment of an environmental reserve, totaling about $11 million. As I noted earlier, Jimmy and his team are intently focused on developing and deploying a robust comprehensive strategy for meeting customer needs, maximizing the value of our extensive pipeline and storage assets and our attractive position in the Marcellus and Utica shale production regions. In the Marcellus area, our expansion projects continue to produce tangible results. In aggregate, we’ve added about 1.2 BCF per day of pipeline capacity in the Marcellus shale region. As I noted, that the team continues to aggressively pursue additional growth projects. On the leadership front, just yesterday, we announced that 2 seasoned industry veterans are joining the NGT&S senior leadership team. Joe Shields, who most recently served as CEO of Millenium Pipeline, is joining NGT&S in the role of Chief Operating Officer, our regulated pipeline and storage businesses, reporting to Jimmy. In addition, Steve Warnick, who has served in a variety of executive positions in virtually every sector of the industry, including a stint with Chesapeake Energy, will be joining Joe's senior team as Senior Vice President of Supply and Business Development. You also may recall that we have announced a number of key leadership adds in our midstream business, most recent of which is John Howard, who joined the team as Senior Vice President for Strategy and Development. In his new role, John will support the development and execution of the company's midstream strategy, from mineral rights to project development. In tandem with our midstream efforts, the team is continuing to advance low-risk, high-value growth opportunities, including projects to serve gas-fueled electric generation markets. In addition to the Warren County, Virginia project that we announced earlier this year to serve a 1,300-megawatt new Dominion power-generating facility, the team is in active discussions with a number of large power generators to meet their needs for new natural gas infrastructure. Before moving to our gas distribution unit, I'd like to touch on a couple of additional matters relating to NGT&S. First, I know there is considerable interest in the extent and potential value of our mineral rights, particularly in the Utica shale region. At this point, what we can share with you is this: we currently estimate that we have between 100,000 and 200,000 acres in the Utica area associated with our Ohio storage leases that may have potential for natural gas and/or oil production. We will refine this notional range as we continue our geotechnical and legal analysis and as the producers continue to delineate the parameters of the play. In addition, I would note that our ultimate mineral rights strategy and value will be heavily influenced by our ongoing discussions with key producers participating in the Utica, discussions I would describe as constructive, but not yet at a mature stage. Finally, I want to emphasize that as we develop and assess our approach and our options for this opportunity, our focus will be on long-term shareholder value, which ultimately is what we're all about. I fully recognize that folks are anxious to receive additional detail and definition on our minerals opportunity. For our part, we are committed to being transparent and timely in providing high-quality, reliable information without premature speculative observations. This time, we expect to be in the position to provide further definition in the first quarter of next year. That said, if we have something meaningful to share prior to then, we'll certainly do so. Turning to the second NGT&S-related consideration. You would expect we've observed with keen interest a significant level of activity unfolding in the midstream business, including pending M&A transactions involving Southern Union in El Paso. In light of those developments, it might be helpful to take a moment to reiterate our perspective on our NGT&S business, which is very straightforward: we believe it's a great business and a key part of the NiSource portfolio, which have tremendous assets, exceptional investment opportunities, invigorated leadership and the ability to consistently grow earnings and increase value over the long term for our shareholders. While we've consistently said that we have an open mind when it comes to options and approaches, including alternative structures to ensure we're optimizing the value of NGT&S, we believe that our current plan and structure continue to be the appropriate one for us. Having said that, I can assure you that our team will continue to explore and help us to continue optimizing our NGT&S business. Let's now shift to our Gas Distribution group, discussed on Slide 7. The hallmark of our Gas Distribution strategy is to work closely with all stakeholders to deliver a broad array of core infrastructure, customer and regulatory initiatives. Our team's execution of that strategy continues to be nothing short of exceptional. NiSource Gas Distribution operating earnings for the quarter were $8 million compared to a loss of about $41 million in the same period in 2010. Revenues were up $24 million while operating expenses were about $25 million less than last year, primarily as a result of lower depreciation cost and lower depreciation rates at NIPSCO Gas. On the regulatory front, as I noted earlier, the Pennsylvania Public Utility Commission approved the settlement of Columbia Gas of Pennsylvania's base rate case. The order authorizes an annual revenue increase of about $17 million effective October 18. The Commission also approved the new rate design incorporating a higher minimum monthly charge, including a fixed customer charge and usage allocation. On the customer front, our Gas Distribution companies continue to introduce, expand programs to help customers reduce energy usage and manage their monthly bills. For example, Columbia Gas of Ohio filed a proposal with the Public Utilities Commission of Ohio to extend -- expand its broad array of energy efficiency programs for an additional 5 years starting in 2012. Over the life of the proposed programs, EOH estimates customers will save up to $300 million. And most notably, the Gas Distribution teams continue to execute on an industry-leading series of long-term infrastructure modernization and replacement programs. 2011, NGD is on pace to invest at a record level, more than $300 million, to ensure safe and reliable service. These investments are part of the more-than-$4-billion modernization program we've placed in motion over the past few years. As we've highlighted in prior discussions, these investments are part of our commitment to do the right thing to ensure continued safe, reliable and responsive service to our customers while supporting the NGD's earnings growth on a long-term sustainable basis. Before we wrap up, I want to reiterate that we have a strong financial foundation to support our infrastructure, investment-driven business strategy. That foundation continues to be our commitment to preserving investment-grade credit rating, maintain the financial flexibility and liquidity necessary to support disciplined annual capital spend north of $1 billion. At the end of the third quarter, NiSource maintain net available liquidity of over $460 million, as well as a stable investment-grade credit rating. We remain on track to invest more than $1.1 billion of capital expenditures this year. I also note that we continue to monitor historically-attractive debt capital markets for opportunities to reduce financing costs, extend our maturity profile and manage our liabilities; in particular, our pension obligations. And on the equity side of the balance sheet, given our strong cash position, including the positive impact of bonus depreciation, we're now planning to draw upon the proceeds of our 2010 forward-sell equity offering in the second half of next year. To wrap up, as this quarter's and our year-to-date results passed, the NiSource team is continuing to build on a strong track record of delivering collaborative, regulatory and commercial solutions for our customers while making disciplined low-risk investments that will grow earnings on a sustainable basis. We are dedicated to maintaining this solid level of performance through the balance of the year to hit the ground running in 2012. Although much work certainly lies ahead, I'm convinced that we have a compelling game plan and the resources and capabilities to continue to deliver on our commitments, including our commitment to grow earnings in the 5% zip code on a long-term sustainable basis. Coupled with a secure attractive dividend, one we have to grow you in the not-too-distant future, we believe this plan creates compelling proposition for investors. And as always, we will communicate with you and all of our stakeholders in a transparent and timely manner through our analyst calls and news releases posted on nisource.com. Thank you for participating today and for your ongoing interest and support of NiSource. With that, Lacey, we can now open the call to questions.
Operator: [Operator Instructions] And our first question will come from the line of Stephen Maresca with Morgan Stanley.
Stephen J. Maresca - Morgan Stanley, Research Division: Thanks a lot for the color kind of, Bob, on the midstream side.
Robert C. Skaggs: Good.
Stephen J. Maresca - Morgan Stanley, Research Division: I'd a couple of questions just to follow-up on that. So you said 100,000 to 200,000 acres, now that's what you have associated with the storage. Are you still trying to figure out what mineral rights you have? Is that the deal or do you know your mineral rights on that number, that 100,000 to 200,000 acres?
Robert C. Skaggs: Typically, we have mineral rights associated with that number. I've got to be clear, we are in the midst of extensive legal geotechnical analysis to prove out, to establish precisely what we have with regard to the 100,000 to 200,000 acres. And to emphasize again, extensive legal and geotechnical work lies ahead.
Stephen J. Maresca - Morgan Stanley, Research Division: Okay. When you're thinking about once you find out what exactly it is, what are you thinking about in terms of how you deal with it? Should we think about how you handled the Marcellus transaction as something as a blueprint?
Robert C. Skaggs: Well, that's certainly one approach, but I would say that we are taking through various approaches to best realize the long-term value of the assets and do what is expected, and as I mentioned in the prepared remarks, we are intently focused on how to ensure we optimize our downstream investment opportunities that are associated with those lease positions. More to come.
Stephen J. Maresca - Morgan Stanley, Research Division: Okay, absolutely. And you're building up quite the team in midstream, it seems. And you mentioned you added 1.2 Bcfe capacity in the Marcellus. And I appreciate the thoughts on the structure given all the activity. What would change your mind on structure? It seems to me that the opportunity side is growing, which is a good thing, but something where you could potentially benefit from another type of vehicle frees up capital and you could become even more of this kind of dividend growth company? What are you looking at that would change your mind, I guess, going forward?
Robert C. Skaggs: Well, to your point, we believe that our base business plan is extraordinarily strong. We believe it will be even more strong as we find our minerals position, as we complete the development of this midstream commercial team that Jimmy is compiling. We believe we have a strong, strong prospect and to deviate from that strong plan, it's going to have -- we're going to have to see something that is extraordinarily compelling.
Stephen J. Maresca - Morgan Stanley, Research Division: Okay. The final one is anything that could cause the NIPSCO settlement to slip? And could you remind the magnitude that you think potential impacts on earnings?
Robert C. Skaggs: Yes, we're literally at the stage of the process where the Commission is deliberating, so the hearings, the briefing process has been completed so this is in the Commission's office being considered for approval. As you may recall, the parties to the settlement urged the Commission to approve this agreement prior the year-end, and we believe that the way that we've handled the briefing -- the very small amount of opposition, we have a good shot of getting this approved prior to year-end. I don't see any blockages at this point. In terms of ongoing operating earnings lift ballpark number, it's about $40 million pretax. That's what we're looking at in the way of a lift. Yes, I would just remind you, tagging onto that, that we will be providing 2012 guidance probably in that January timeframe when we announce our earnings for the fourth quarter and the full year, and that will include the results of the NIPSCO rate proceeding.
Operator: And our next question will come from the line of Paul Ridzon with KeyBanc.
Paul T. Ridzon - KeyBanc Capital Markets Inc., Research Division: Thank you for the update on the Utica every -- it's been on everyone's mind.
Robert C. Skaggs: Yes, absolutely, we recognize that. And again, Paul, you and everybody else, we're going to be timely, transparent and it will be meaningful information, so stay tuned.
Paul T. Ridzon - KeyBanc Capital Markets Inc., Research Division: I just had a question. The NGT&S, there's $11 million remediation charge. Is that behind us or do we need to think there could be more of that coming?
Robert C. Skaggs: We believe that it's behind us now; never say never. There may be minor additions required in reserve over a period of time, but we believe that this -- [indiscernible] for all intents and purposes of it yet. And this relates to historic PCB cleanup, a consent decree, so this has been placed for many, many years and, again, we believe it's the tail-end of that project.
Paul T. Ridzon - KeyBanc Capital Markets Inc., Research Division: How long do you think it takes discussions with producers to mature? Is this something you could talk about when we potentially meet early next year?
Robert C. Skaggs: Again, we are going to keep you up on a consistent basis with those discussions. We expect over time that we will be in a position to announce infrastructure investment arrangements with producers, so it's going to be an ongoing dialogue with the financial community.
Paul T. Ridzon - KeyBanc Capital Markets Inc., Research Division: If you could pick the relationship you're going to have, what kind of interaction is there going to be between the infrastructure and the actual molecules?
Robert C. Skaggs: Sorry, Paul, I'm not following the question.
Paul T. Ridzon - KeyBanc Capital Markets Inc., Research Division: Do you think you're just going to sell the mineral rights outright or do you think there's going to be a more complicated relationship with the producers involved to your infrastructure?
Robert C. Skaggs: It's impossible to speculate on the exact nature of relationships with those. It's awfully dynamic and it does vary from case to case. But in my first question-and-answer, what I -- maybe the allusion to was at any arrangement we might have around minerals, we certainly want to ensure that we're positioned to capture the bulk of the downstream infrastructure investment opportunities, that sort of our business, investing in infrastructure, we want to capture everything we possibly can.
Operator: And our next question will come from the line of Yves Siegel with Credit Suisse.
Yves Siegel - Crédit Suisse AG, Research Division: Just to kick to continue -- to continue to kick the can down the road, I'm just -- really, just 2 questions as it relates to the Utica. One is, how complicated are the legal issues that you need to -- or perhaps the better way to say, could you elaborate on the scope of the legal issues that you need to evaluate?
Robert C. Skaggs: Yes, the entire oil and gas legal arena is pretty complicated. I want to put it in that context, I'm not sure our leases are extraordinary in one way or another. But if you're going to gain perspective, we're talking about thousands of leases over an extended period of time, it involves many, many different forms of leases and, therefore, different language the lease has been operated differently according to the storage. There are statutory considerations, there are common law considerations, there are equity considerations, so that gives you a bit of the dimensions that are involved when you undertake this sort of an extensive analysis. And again, I would emphasize, Yves, my point of view, this is not really extraordinary when you get into the oil and gas leasing legal arena, but our intent is to fully understand what we're on so we need to go through this very methodically and a very thorough manner.
Yves Siegel - Crédit Suisse AG, Research Division: Okay. And the follow-up to that is who owns the leases though? Would that approve to the NiSource shareholders? Or do some of those leases belong to your -- to the utility customers?
Robert C. Skaggs: These are leases. We are the lessee, and they are held by our operating corporation, Columbia Gas Transmission.
Yves Siegel - Crédit Suisse AG, Research Division: Okay, I got it. And then lastly, not to be nitpicky but I think this is the second time you've discussed a 5% zip code as opposed to saying 3% to 5% in terms of thinking about earnings growth. Could I suggest that maybe you’re in a new zip code?
Robert C. Skaggs: Zip code, area code, what we've tried to be consistent about, we've been saying to the finance community, if we can sustain a -- annual CapEx spend at $1 billion or so, we would be at the upper part of the 3% to 5% range. This is now the second year that we've spent $1 billion. Certainly, next year, we would like to be a bit north of that. So we do believe that we are at a bit of a different zip code, so let's call it 5% though for the time being .
Operator: And our next question will come from the line of Carl Kirst with BMO Capital.
Carl L. Kirst - BMO Capital Markets U.S.: Now you've said -- all right, so not to again beat a dead horse but one other question I wanted you to go, just with -- and this was really more of a clarification and it may make sort of an overlap, but when you mentioned the 100,000 to 200,000 acres, I guess I was trying to figure out because we have those geotechnical and legal issues to work through, are those -- is any one single issue creating an upper or lower bound? Meaning, do you -- we know we have at least 100,000 acres that might be prospective, but maybe there's 200,000 acres that legally we think is free and clear, and it is the geotechnical work more so than the legal, for instance, that's going to be the primary factor in that delta or vice versa? I don't know if there's any more color on that.
Robert C. Skaggs: The answer is no.
Carl L. Kirst - BMO Capital Markets U.S.: Okay. And then maybe just one other -- to follow-up on the environmental -- on the pipeline side and just trying to kind of get a sense of the $19 million, perhaps, in total because there was a couple of other issues wrapped up in that. What was just related to the -- what you might call embedded personnel -- not the environment, not the feberance but just sort of the embedded piece maybe that we should look at as far as recurring?
Robert C. Skaggs: Carl, I'm not following your question. Talking about the core environmental reserve adjustment?
Carl L. Kirst - BMO Capital Markets U.S.: Exactly, the $11 million of the $19 million, and I'm just trying to figure out how much of return beyond the $11 million might we see in third quarter of next year?
Stephen P. Smith: I will say it's in the $4 million range effects.
Operator: And our next question will come from the line of Craig Shere with Tuohy Brothers.
Craig Shere - Tuohy Brothers Investment Research, Inc.: Just wondering in what counties do your potential Ohio Utica mineral rights cover?
Robert C. Skaggs: I can't give that to you over the phone and follow-up with Randy Hulen. We can you a little bit more of the geographical sense on when the storage assets lie.
Craig Shere - Tuohy Brothers Investment Research, Inc.: Okay, I can follow-up.
Robert C. Skaggs: Thank you. Yes, just do that offline.
Operator: And our next question will come from the line of Andy Levi with Caris.
Andrew Levi - Caris & Company, Inc., Research Division: Just kind of a follow-up to the last question. Can you give us some idea -- the middle of the state where most of the acreage is at State of Ohio, I should say, [indiscernible] Appalachia, Ohio, Flordia, broad geographic locations?
Robert C. Skaggs: I would say -- yes, it tends to be midwestern part of Ohio to the Eastern border is what -- where these facilities are. We can make available the Columbia Gas Transmission map and on that map, you will see storage fields, compressors stations and the like, and that will give you a sense -- a general sense of where our facilities are. That's readily available. But as I mentioned in our clear [ph] of questions, I would caution you not to extrapolate too much at this point because it would be pure extrapolation and involve a lot of speculation. But we can clearly -- we can show you where the facilities are situated.
Andrew Levi - Caris & Company, Inc., Research Division: And I guess I'm sorry because I'm on a train, but I guess you said they're basically located or focused on where your storage facilities are? Is that kind of the way to look at it?
Robert C. Skaggs: That's correct, yes. If you look at where our storage fields are sited, that typically is where the lease is up. That's where the leases are, in fact.
Operator: And our next question will come from the line of Faisel Khan with Citi.
Faisel Khan - Citigroup Inc, Research Division: On this -- on the specific storage fields in Ohio, are you -- I mean, if it is still possible to lease acreage on top of those storage fields or do you have to keep those storage fields sort of separate from -- if acreage have to be kind of away from those storage fields, so you don't have to [indiscernible] reservoirs of some of those fields?
Robert C. Skaggs: Yes, you're getting way beyond my area of expertise, but one of the key considerations when you do your work around those, the assessment is we have to protect the integrity of the lease operations. That's first and foremost because you go through the geotechnical analysis, the operating analysis, maintain the integrity of the [indiscernible].
Andrew Levi - Caris & Company, Inc., Research Division: Okay. Can you remind us a little bit of what exactly you guys did in the Marcellus? I know you leased some amount of acreage there from mineral rights or from leases you had in that particular area. Can you remind on what -- the negotiation you had with the -- with developers and the producers in that area, what came out of that facility, can I get an idea?
Robert C. Skaggs: Yes. We...
Andrew Levi - Caris & Company, Inc., Research Division: Kind of what take place going forward?
Robert C. Skaggs: Yes, we leased about 135,000 acres. Typically, the transactions involved an upfront bonus payment and we retained a 1/16 royalty, if you will, in production. In some cases, we may have had rights to proceeds from liquids, a portion of proceeds. So that was the general structure of these arrangements and the counter-parties involved, Chesapeake, CNX and Range.
Andrew Levi - Caris & Company, Inc., Research Division: And what would you say the contribution to earnings is from those leases that you guys put in place a while ago?
Robert C. Skaggs: Ballpark, royalty and any proceeds, roughly $10 million pretax. This has been what I said a while earlier in the call, our intent and interest is investing in facilities downstream. We considered these leases as being alignment of interest so that we could again reap the ability to invest downstream as opposed to the primary interest in creating a revenue stream. It's a nice thing to have, but our intent was to align ourselves with CNX, Chesapeake and Range in the Marcellus region.
Andrew Levi - Caris & Company, Inc., Research Division: Okay. And I guess you've mentioned that you have a map on the storage fields that we've seen some of that, but from what your understanding is of what producers have put out there in terms of what's in the so-called liquids-rich sort of region of the Utica? I mean, do you have an idea of kind of this storage fields sit in that window or is it mostly in the drag-us window?
Robert C. Skaggs: We're assessing that and, again, I alluded to this earlier, the producers are still in the midst of delineating that region and I think we've seen some notional delineation, but I think what's notable is the level of drilling activity in Ohio has still been very, very small. There have been only a dozen or so wells, that many drilled in Ohio, and it hasn't been expansive in terms of geographical coverage. From our perspective, we are very, very early in the stages of -- to understand what we've got.
Operator: And our next question will come from the line of Gabriele Sorbara with Caris & Co.
Gabriele Sorbara - Caris & Company, Inc., Research Division: Just another Utica question, I realize it does is very early in determining the acreage, that perspective for the play but can you provide some thoughts on maybe how you guys plan on getting this -- creating value from this asset? I realize you hired some new key people. Did they play a role in kind of determining your options in the Utica?
Robert C. Skaggs: Absolutely. It's going to be Jamie Stayton and his midstream team, coupled with legal and geotechnical advisors that will, number one, identify what we have and develop the strategy to best optimize position, and then begin to plan in executing the strategy.
Gabriele Sorbara - Caris & Company, Inc., Research Division: Would you ever consider bringing in the rig? Or is it something you would farm out to JV ultimately.
Robert C. Skaggs: Just general business philosophy is that we are -- we're not a commodity business, we're a fee-for-infrastructure, investment-driven company, so we don't anticipate participating in production and commodity sorts of activities.
Operator: Ladies and gentlemen, this concludes our question-and-answer portion of today's call. I would now like to turn the call back over to Bob Skaggs for closing remarks.
Robert C. Skaggs: Thank you all for your interest and your support. We'd certainly appreciate and we look forward to chatting with you in the not-too-distant future. Have a good day and good weekend. Thanks.
Operator: Thank you for your participation in today's conference. This concludes the presentation. You may now disconnect. Good day, everyone.